Operator: Good day and thank you for standing by. Welcome to the Adaptimmune Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. I will now like to turn the conference over to Juli Miller, Investor Relations. Please go ahead.
Juli Miller: Hello, and welcome to Adaptimmune's conference call to discuss our second quarter 2021 financial results and business update. Please review our forward-looking statements from this afternoon's press release, as we anticipate making projections during this call and actual results could differ materially due to several factors, including those outlined in our latest filings with the SEC. Adrian Rawcliffe, our Chief Executive Officer is with me for the prepared portion of the call, other members of our management team will be available for Q&A. With that, I'll turn the call over to Adrian Rawcliffe. Ad?
Adrian Rawcliffe: Thanks, Juli, and thanks everyone for joining us. So last year, we set out our 2-2-5-2 strategy for the next five years. And at the beginning of this year, we identified the milestones in 2021 to start to deliver that strategy. From a clinical perspective, these milestones were: one, to present initial data from our pivotal SPEARHEAD-1 trial with an afami-cel ASCO, with a full data set to follow at CTOS. Two, present data from our AFP trial at ILCA; and three, present data from our SURPASS trial with our next-gen program targeting MAGE-A4 at ESMO. I'm pleased to say that, in Q2, we delivered on the first of these with excellent afami-cel data at ASCO, and we are positioned to deliver on the next two in Q3 at ILCA and ESMO as anticipated. I want to say a little bit about each of these milestones in turn. As you can see from the press release, we had a busy Q2. In June, we presented initial data from our pivotal SPEARHEAD-1 trial at ASCO. With the disease control rate of approximately 85%, an overall response rate of approximately 40%, and very encouraging initial durability, these data demonstrates that afami-cel has life-changing potential for people with synovial sarcoma and MRCLS. We plan to update data from this trial at CTOS later this year. And we're working hard to file our BLA next year and achieve the first element of our 2-2-5-2 strategy to have a product on the market targeting MAGE-A4. We are preparing for a successful commercial launch working with key industry leaders: Agilent for companion diagnostic; Miltenyi for our lentiviral vector supply, as well as developing our in-house capabilities to support commercial delivery for afami-cel. For the second and third clinical milestones this year, we are on track to update in Q3, on our AFP and SURPASS programs at ILCA and ESMO, respectively. At ILCA, on September the 5th, Dr. Bruno Sangro will present data from our AFP Phase 1 trial. He will present data on 13 patients, who've been treated in Cohort 3 and the expansion, a level of who have had at least one post-baseline scan. We will issue a full press release around these data and will update regarding this program going forward. At ESMO, we presented update from the SURPASS trial with our next-gen program targeting MAGE-A4. You'll remember that last year, we reported data at Fitzy from six patients in the dose escalation cohort of this trial, with two confirmed responses and patients with EGJ and head and neck cancer, as well as tumor reductions in three other patients with esophageal, ovarian and EGJ cancers. As I said in the Q1 call in May, enrollment in the first half of 2021 in this trial has gone very well. As of the data cut for the ESMO presentations, we treated 25 patients in this trial and 23 of these patients have at least one post-baseline scan. And we are very much looking forward to sharing this data update as planned at ESMO. The poster will be available online on September the 16th. Again, we will issue a full press release and provide an update on the future for the development of this therapy. Couple of other updates on this program, the SURPASS trial was initially in a wide range of MAGE-A4 expressing tumors, but was subsequently amended to recruiting full focus indications lung, bladder, head and neck and gastroesophageal cancers, where we have seen anti-tumor activity and responses with our MAGE-A4 targeted therapies previously. Based on emerging data in several patients with ovarian cancer treated in the SURPASS trial, we will add ovarian cancer back to the list of focus indications. So going forward, the SURPASS trial will continue to enroll patients with lung, bladder, head and neck, gastroesophageal and ovarian cancer. In addition, our SURPASS-2 trial, which is the Phase 2 trial with the next-gen product targeting MAGE-A4 for patients with esophageal and EGJ cancers is on track to initiate as planned in Q3. We've designed a protocol to account for the evolving standard of care in this setting and identify a patient population that is most likely to benefit from this type of therapy. We are committed to identify more indications for late phase development with the 2-2-5-2 goal of having an additional MAGE-A4 marketed product in the next five years. Our clinical data, our translational learnings, as well as our preclinical pipeline, including our industry-leading allogeneic program move us closer every day to our goal of cell therapy products that are both curative and mainstream. And with that, I'd like to turn it over to the operator for questions.
Operator:  And our first question comes from Tony Butler with ROTH Capital. Your line is open.
Tony Butler: Thanks very much for taking the questions. There are two one with two parts. Adrian, you mentioned the companion diagnostic development with Agilent. And I am assuming that you're going to see clear validation. So the question is, can you provide some information around the number of patients that you may need to see to provide to the FDA? And importantly, will that cause any delay, or do you think it will cause any delay in the BLA filing based on SPEARHEAD-1? And part b, of that question, would you use this particular validated diagnostic in SURPASS-2, in esophageal cancer in EGJ. Question two is around the program that you have with Astellas? And I recall that one of the - I believe it was one of the HiT programs Astellas had taken if you will an ownership or joint venture in, that also taken a second program. And I wondered, if you would speak to that, and if you don't want to reveal the program fine, but how far longer the development of both? Thank you.
Adrian Rawcliffe: Thanks, Tony. So, we have not provided details on the development pathway for the companion diagnostic. I can confirm that there won't be any delay to - we don't anticipate any delay to the BLA file on the basis of that. Could you repeat the question on the SURPASS-2 trial?
Tony Butler: Yes, so you're going to use that companion diagnostic in the SURPASS-2 trial, and therefore that trial may actually be somewhat delayed in the rolling, even though you said it's going to be in Q3? Thanks.
Adrian Rawcliffe: Yes, so the answer is no. We're not using that diagnostic in that trial, and we don't anticipate that, that will be delayed in enrolling. With respect to the Astellas collaboration, I'm going to ask Helen to comment on the status of those programs.
Helen Tayton-Martin: Thanks, Adrian. So thanks for the question, Tony. Can I just repeat it back to you, I think you were double checking on the second program, the first one we name Mesothelin as a target for one of our HLA independent or HiT, TCRs and we are co-developing that one to get there. The second one is, has been selected, but is not named, and won't be named foreseeable, is that the question?
Tony Butler: It is, Helen and thank you, the issue was how far along has that progressed since they have decided to take that program under their wings as well?
Helen Tayton-Martin: I would get liberty to say exactly how far it's progressed, but it is moving along the timelines that we anticipated for in selecting the target. So, I think early, basically, but not that far from finding the Mesothelin program.
Operator: Our next question comes from Marc Frahm with Cowen and Company. Your line is open.
Marc Frahm: Thanks for taking my questions and congrats on getting all these patients in and ready for presentation. Maybe Adrian, your comment about adding a focus on ovarian within SURPASS, just to be clear, is that based on I think that you had a little bit of tumors, you had some tumor shrinkage in one ovarian patient as of the last update, is it because of that, or is it really that you've seen more in additional patients that have happened subsequent to that update?
Adrian Rawcliffe: We are going to comment on any of the data that is in the SURPASS trial pending the ESMO data release. I think that question will be much better answered when we can all look at the same amount of data and have that discussion there.
Marc Frahm: Okay. And may get similar answer here, but same quite answer. But can you give us a flavor - you gave that kind of patient numbers, but can you give a flavor kind of spread of tumors that are going to be in there, in our - should we be thinking about any of these tumor types starting to get to that kind of high single-digit patient type of threshold you've historically talked about that useful for kind of establishing proof-of-concept or futility, if that were the case?
Adrian Rawcliffe: You're correct. You're going to get the same answer as from the previous question, but I do with my persistence on this. We haven't guided and we're not going to guide, I think it's best, it's only a month away everybody can look at the data set when we put it out there at ESMO, and we can talk about it from an important perspective at that point.
Marc Frahm: Okay. And then maybe turning to the plan BLA, you're continuing to enroll a second cohort of patients in SPEARHEAD-1. Will the filing just have the first cohort that we've already seen response rate data, plus the couple of incremental patients, or do you expect that filing to have the complete trial including some of these patients who are enrolled into the second cohort?
Elliot Norry: Yes. Hi, Marc, it's Elliot. The plan is to file the BLA based on the data in Cohort 1.
Operator: Our next question comes from Michael Smith with Guggenheim. Your line is open.
Kelsey Goodwin: This is Kelsey on from Michael. I just had two quick ones. Could you just provide some color on where you stand with the launch prep and commercial readiness? And then the second one, we saw in the press release that the radiation sub-study was officially closed, maybe just a little bit of color there on why it stopped? And that's it from me. Thank you.
Adrian Rawcliffe: Thanks, Kelsey. I will ask Elliott to touch on the radiation sub-study. And Helen, do you want to just pick up on where we are with commercial readiness and prep?
Helen Tayton-Martin: Yes, sure. I'll kick off with the answer to that one. I mean I think we're in reasonably good shape. We've been planning for this for quite some time. We've had internal focus on the key things around market access, marketing, broad commercial planning and now we're beginning to turn our attention to the dig deeper and also obviously into the outward customer facing roles. So as you would imagine working very closely with KOLs, et cetera, and then getting feedback and beginning to sort of map out all kinds of materials, pathways and rolls on that side. And then kind of John, can quite easily comment on the prep, that's going on to for our commercial manufacturing and our operations, technical operations in place ready for very different level of delivery of products to complement what we do on the clinical side. So yes, we're about - we'll say more in due calls, I'm sure, but at this stage, I think we're pleased with how it's tracking.
Adrian Rawcliffe: John, do you want to pick up on the CMC aspects of this?
John Lunger: Sure. We've said before that our commercial loans will come out of the same facility here in Philadelphia that we've been using for the clinical trials, and then we had the capacity that we need for that launch. So supply-wise we're in good shape, and then we're obviously going through all of the activities that you need to prepare for the BLA filing, the process characterization work and those type of things, which is proceeding well.
Adrian Rawcliffe: Elliot, do you want to touch on radiation sub-study?
Elliot Norry: Yes, sure. So we decided to end enrollment in the radiation sub-study for - really for multiple reasons. This was a single center sub-study of the Phase 1, afami-cel multi-tumor study. And really the only part that was remaining open. The study was significantly affected from an enrollment standpoint by the COVID pandemic. And really presented a very challenging enrollment scenario with the single center, and also with expanding into other centers. And when we look back at the trial design as well, based on how it had been organized, it was really unlikely to provide sufficient answers as it relates to differentiating the addition of low dose radiation to cell therapy. So, while there is still, I think scientific promise to the idea of using low dose radiation to improve T-cell trafficking, and we'll sort of retain the option to reintroduce that at a later time, if it makes sense. This study really did not make good sense for us to continue to enroll. The real focus is for those same tumor types that are expressing MAGE-A4 to really be put into the CD8 alpha program and continue to enroll SURPASS.
Operator: Our next question comes from Jonathan Chang with SVB Leerink. Your line is open.
Jonathan Chang: First question, what do you see as the go/no-go bar for advancing the next-gen MAGE-A4 program into later stage development for the different indications beyond the Phase 1 SURPASS study?
Adrian Rawcliffe: So maybe I'll take a stab at that. And so the - I think - I don't want to get into speculation about individual tumor types. I think we'll let the data speak for itself with ESMO. But I think, I'd just refer everybody to the discussions that we've had previously about what efficacy in cell therapy, in very late stage populations such as those that we're studying in this Phase 1 trial would look like. And I think we've consistently said that three out of 10 patients responding with benefit to patients of six months give or take would probably be the ballpark that we're looking to see. Now, obviously that does vary depending on individual settings and tumor types, and - but I think we need to understand the data a little bit more before we can discuss that and look forward to doing so from ESMO onwards.
Jonathan Chang: And maybe a similar question in the same lane. What do you see as the go/no-go bar for picking a particular indication to be a focus indication in the ongoing SURPASS study?
Adrian Rawcliffe: Well, that one was a bit more a bit simpler. In that, we selected those indications some time ago, the four that we have previously. And obviously, I'm not going to comment on the rationale behind putting ovarian. And as I commented earlier, we'll talk about that when we get down to ESMO. But more generally you might recall that we had an analysis of all of the patients that were treated with MAGE-A4 targeting therapies in the both the dose escalation portions of the SURPASS study and then also the Phase 1 trial for afami-cel we recruited a number of non-sarcoma patients you may recall. And the indications that we selected is focused indications then lung, bladder, gastroesophageal, head and neck were indications where we had seen either confirmed responses or very substantial anti-tumor activity in the case of bladder or urothelial cancer. We didn't have any responses there, but we had seen very significant anti-tumor activity. And really it was a way of focusing down that trial from the sort of 10 indications that it was - go routinely express MAGE-A4, down to something a bit more manageable and to try to get to patient numbers where we could make development decisions.
Operator: Our next question comes from Mara Goldstein with Mizuho. Your line is open.
Mara Goldstein: Hi, it's Mara Goldstein. Just a few questions - hey, on SURPASS-2, you spoke to in your prepared comments about making some modifications to sort of conform to evolving standard of care. And I'm wondering if you can just speak to that at this point in time? And then the second is, I'm just curious, we've heard from a couple of companies within the cell therapy space around vector supply constraints. And you also kind of alluded to a little bit around sort of supply management. Maybe you could speak to that specifically as it relates to you guys and what you're doing?
Adrian Rawcliffe: Certainly, thanks, Mara. So I'm going to ask Elliott to talk about the SURPASS-2 study, and the standard of care evolution there. And then I'll ask John to pick up the discussion on our strategy around back to supply.
Mara Goldstein: Thank you.
Elliot Norry: Yes hi, Mara. Just very briefly, the standard of care for really the gastroesophageal cancers has evolved from being a chemotherapy approach in first-line followed by PD-1 inhibitor. In most scenarios there are some other drugs that play in, in specific settings, but those drugs are now being used fairly commonly as a combination first-line approach, which does two things. I mean, first of all, it improves the standard of care for those patients, but it also opens up the space for second-line therapy in many patients and that the patients don't just receive, they don't receive first chemotherapy progress then PD-1 inhibitor, then progress then be open to third-line treatments. They're really compressing those two treatments still into first line. That being said, there is still tremendous unmet need in this population and that, the response rate and duration of response with those comment - with that combination, although better and an advancement for patients. There is still quite a long way to go to help this really devastating tumor type, the patients with that disease - with those diseases.
Mara Goldstein: So then modification, you'll expect to make will be essentially to move sort of closer to a second-line therapy is that what I'm understanding?
Elliot Norry: The study does allow for the drug to be used in second line beyond.
Mara Goldstein: Okay.
Elliot Norry: Behind combination chemotherapy, we've made some other changes with respect to patient selection and whatnot based on what we've learned in the Phase 1 program, but that's the most significant change.
Mara Goldstein: Okay all right. Thank you.
John Lunger: Yes and on the vector, probably recall back in 2017, we made the decision to pursue a vector strategy that had 10 main elements. One was an external partner that could work with us through commercial and Ad mentioned Miltenyi earlier, which we've used work with Miltenyi for the vector supply for our SPEARHEAD trial and other trials. So that's the material that we'll use going into commercial. But secondly we decided to also develop the internal capability. So we have done that and we're supplying our other trials with material produced internally from our facilities. It's a new cell and gene therapy Catapult center in the U.K. So, we're kind of executed on the plan to have two sources of vector available to us, one internal and one external.
Operator: Thank you. And there are no other questions in the queue. I'd like to turn it back to Adrian Rawcliffe for closing remarks.
Adrian Rawcliffe: Thank you, everyone for your questions and your continued support for the company. We look forward to updating everyone on the data in September and keeping you up-to-date with continued progress. With that, we'll close the call. Thanks a lot.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.